Operator: Welcome and thank you for standing by. At this time, all participants are in a listen-only mode. After the discussion, we will have a question-and-answer session. (Operator Instructions) Now, I will turn the meeting over to your host, Ms. Rachel Stern, Senior Vice President, Strategic Resources and General Counsel. Ma'am, your line is open. You may proceed.
Rachel Stern: Thank you, operator. Good morning and thanks to all of you for participating today. Welcome to FactSet's Third Quarter 2014 Earnings Conference Call. Joining me today are Phil Hadley, Chairman and CEO; Peter Walsh, Chief Operating Officer; and Mike Frankenfield, Director of Global Sales. This conference call is being transcribed in real-time by FactSet's CallStreet service and is being broadcast live via the Internet at factset.com. A replay of this call will also be available on our website. Our call will contain forward-looking statements reflecting management's expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet's business and financial results can be found in FactSet's filings with the SEC. Annual subscription value or ASV is a key metric for FactSet. Please recall that ASV is a snapshot view of client subscription and represents our forward-looking revenues for the next 12 months. Lastly, FactSet undertakes no obligation to update publicly any forward-looking statements as a result of new information, future events or otherwise. In addition to our quarterly update, we are pleased to announce that the company has named Phil Snow as President, effective July 1st. Phil Snow is an 18-year veteran of FactSet. His most recent role is Senior Vice President, Director of U.S. Investment Management Sales. As President, Phil Snow will report directly to our CEO, Philip Hadley. I would like to turn the discussion over now to Peter Walsh, Chief Operating Officer. At the end of his remarks, we will have time for questions. Please limit your remarks to only one question and just one follow-up, so that we will have time to address all questions effectively.
Peter Walsh: Thank you, Rachel, and good morning everyone. Here's how I planned to spend our time today. First, I'll review a few housekeeping items. Second, we will review Q3 results. Third, I will provide guidance for Q4. Finally, we will end with your questions. Let's begin with four housekeeping matters to add clarity to our reported results. To start, when we acquired StreetAccount in June 2012, we granted performance-based options. StreetAccount has had great success and we are pleased to report a non-cash pre-tax charge of $1.4 million was recorded in Q3, related to changing our expectations that performance targets will be achieved which triggers vesting of these options. Secondly, we recorded a $1.6 million pre-tax legal charge primarily from settling a claim. Third, we experienced income tax benefits of $554,000, primarily from the expiration of the statute of limitations on open tax years. Lastly, regarding the R&D tax credit, as you will recall the credit expired on December 31, 2013. Accordingly, as we did in Q2, today our Q3 EPS and Q4 guidance includes a $0.03 reduction compared to the prior year, and adjusted EPS excludes this benefit in the prior year quarter. The R&D tax credit has only lapsed once in its 32-year history and has been retroactively restated in previous years. Our annual effective tax rate would have been 28.7% rather than the actual rate of 30.5%, had the credit been reenacted before the end of Q3. Now on to our third quarter results, I am pleased to say that FactSet has had a good third quarter and much stronger than a year ago. All key metrics grew. ASV, revenues, EPS, client count and user count. Our organic ASV growth rate also expanded by 130 basis points, ASV grew to $932,000, up 7% organically over the prior year. Organic ASV rose by $12.3 million this quarter. The buy-side performed well this quarter and accounted for 83.1% of total ASV. Remember, that our buy-side business includes off-platform data sales and the market metric business. For us, the sell-side includes only the M&A advisory, capital markets and equity research businesses, which stabilized in terms of users and accounted for 16.9% of ASV. This quarter, adjusted EPS rose to a $1.25, an increase of 11% compared to the same period last year. We are proud to point out that this quarter marks our 16th consecutive quarter of double-digit EPS growth. Free cash flow is defined as cash generated from operations less capital spending. We generated $91 million free cash flow this quarter compared to $92 million in the year ago quarter, which is our record high. Over the last 12-month period, free cash flow was $253 million, up 9%. DSOs this quarter were 34 days, up from 29 days in the same period last year. DSOs were 39 days at the end of Q2, representing a decline of 13% in the last 90 days. Our cash and investment balance was $134 million at May 31, up $31 million in the past three months. We repurchased 540,000 shares this quarter for a total of $57 million. As of the end of this quarter, $162 million remains authorized for future share repurchases. Over the prior 12 months, we have returned $409 million to shareholders in the form of dividends and share repurchases. During the third quarter, our Board of Directors authorized the increase of our quarterly dividend by 11% from $0.35 to $0.39 per share beginning with our dividend payment today. Over the last three years, our dividend has grown at a compounded annual rate of 13%. At the end of the quarter, we had 42 million shares outstanding. Now let's turn to our P&L. FactSet's third quarter revenues grew to $232 million, an 8% increase compared to last year. Organic revenues grew 6% over last year, excluding $3.7 million in revenues from acquisitions completed since June 2013. Operating income for Q3 increased to $73 million compared to $72 million in the same period last year. Adjusted operating income for the quarter increased 6% over the prior year. Adjusted net income also grew 6% this quarter to $53 million and adjusted diluted EPS grew 11% to $1.25. Please note that current year adjusted operating income, net income and EPS exclude $554,000 in income tax benefits, the non-cash pre-tax charge of $1.4 million related to stock-based compensation and a $1.6 million pre-tax legal charge. Last year's adjusted net income and EPS excluded $3.3 million of income tax benefits related to the federal R&D tax credit and finalizing prior year tax returns. Third quarter revenues in the U.S. grew to $156 million, up 6% over the same period last year. Our non-U.S. revenues grew to $76 million. Excluding incremental revenue from the acquisition of Matrix and the impact of foreign currency the Q3 international revenue growth rate was 8%. On the international side, third quarter revenues from our Europe and Asia-Pacific regions were $58 million and $17 million, respectively. Excluding foreign currency effects in the Matrix acquisition, year-over-year growth rates were 7% Europe and 14% in Asia-Pacific. Our performance during the just completed third quarter was positive on all fronts, especially since the third quarter is typically not a robust one for us. Our client growth was strong this quarter as we added 30 new clients compared to four a year ago. In fact, this Q3 was our best third quarter for new client acquisition since 2007. Total client count was 2,662 as of quarter end. As you know, we only count as clients those that we bill at least 24,000 annually. On our annual client retention rate was greater than 95% of ASV and rose for the very first time since the credit crisis to 93% in terms of the number of actual clients. Not only we are adding new client, but we are keeping the existing ones too. This quarter, our net user count of FactSet terminals rose by 620 compared to only 61 in the year ago quarter. Total user count was 52,483 professionals at quarter end. While users declined only very slightly at sell-side clients, user growth on the buy-side was strong resulting in 632 net new users. This quarter, we entered into agreement with the QUICK Corporation, a Japanese financial information provider that is part of the Nikkei Group. Together we plan to develop a premium FactSet service for redistribution in Asia. The new service will integrate the Nikkei Group's high-quality content with FactSet's industry leading global content and workflow solutions. We are enthusiastic about this opportunity to further FactSet sales through this expanded partnership with QUICK. Whether at new clients or from same-store sales, our portfolio analytics suite of applications is a strong product line for us. We are gratified to see existing clients expand their use of our services and buy more products that integrate with the Portfolio Analytics suite. Clients continue to find value in our ability to serve as a single solution for their analytics, risk and publishing needs over a variety of asset classes. As in recent quarters wealth management continues to deliver growth for us. We have both, a focused product suite and sales team to address the workflows of these particular types of clients. Aiming to deliver the most thoughtful service and comprehensive ease to generate reports for their clients, our wealth management clients are using more and more of our portfolio analytics suite of products in a manner similar to some institutional investors. We have also been happy to see growth in our proprietary content through the efforts of our global content sales team. StreetAccount, FactSet's condenses news product is [strongly] across all FactSet user types. Our proprietary data including FactSet Fundamentals, FactSet Estimates, Ownership, Transcripts [data] has been selling well. Many client consumer data feeds, some of them are traditional workstation clients that also want feed data for a particular use and some are not traditional FactSet clients at all. While not an area of growth for us during Q3, our investment banking clients fared better this quarter than in the recent past. While their purchase decisions are lengthier and more difficult, they are not nearly as negative as they have been in recent years. We are also encouraged by the uptick in both, the IPO and M&A marketplaces. Now, let's take a look at the expense side. For the third quarter, operating expenses were $159 million and our adjusted operating margin this quarter was 32.8%, lower than 33.4% we reported last year. The Revere and Matrix acquisitions lowered operating margins in Q3 by 120 basis points. Cost of services in Q3 expressed as a percentage of revenues increased 190 basis points compared to a year ago due to a non-cash pre-tax charge of $1.4 million related to the vesting of performance-based options, incremental cost of the Matrix and Revere acquisitions and higher compensation expense from additional headcount in our engineering, consulting and product development groups, partially offset by lower computer equipment capital expenditures. SG&A expenses expressed as a percentage of revenues decreased by 150 basis points in Q3 compared to the year ago period due to lower compensation expense from employees performing SG&A was partially offset by higher legal fees and [more] related to an increase in travel by our sales teams. By the end of the third quarter, we had 6,372 employees. Our total global headcount grew 8% since last May. As predicted in last quarter's call, our net headcount decreased by 114 employees. This trend will likely be reversing in Q4, because our new consulting and engineering classes have started and we restart hiring content collection personnel now that another successful peak filing season has passed. Our effective tax rate for the third quarter was 29.8%, up from 25.9% a year ago. As we discuss, our effective tax rate was impacted by the expiration of the federal R&D tax credit. Had the credit been reenacted, our Q3 effective tax rate would have been 28.7%. Now, let's turn to our guidance for fiscal 2014. We expect that our revenues will range between $235 million and $240 million. Our operating margin is expected to range between 32.5% and 33.5%. This range includes a 1% reduction from acquisitions made since September 2013. We expect that diluted EPS will range between $1.30 and $1.32. This diluted EPS estimate accounts for the expired federal R&D tax credit which has the effect of lowering each end of our range by $0.03. The annual effective tax rate should range between 30% and 31%. This range also takes into account the lapse federal R&D tax credit. On the whole, we have been pleased with our third quarter performance. We are encouraged that every key metric was up, each notching new record highs. Our buy-side user base is expanding and there are early signs of stabilization within the sell-side. Our organic ASV growth rate increased by 1% and our sense is that we are beginning to see some of the results of the efforts that we have been working on for some time now. Adjusted EPS again grew by double digits and has done so in every quarter for the last four years. While we are pleased with reason results, our aspirations are to go way beyond stringing together a couple of successful quarters. We like our position and our future market opportunity, but we still have a lot of work ahead. We are excited about the challenge and delighted to have Phil Snow as our President as we forge ahead. Thank you and we are now ready for your questions.
Operator: Thank you. We will now begin the question and answer session. (Operator Instructions) The first question comes from Mr. Peter Appert. Sir, your line is open. You may proceed.
Peter Appert - Piper Jaffray: Thanks. Good morning. Peter, I was hoping you might be able to give us some incremental color on what's driving the acceleration in password and ASP growth. Specifically I am wondering if you could give us an granularity on drivers like pricing or growth from new versus existing customers or just anything to help understand what's the dynamic behind the accelerating growth. Thanks.
Mike Frankenfield: Peter, it's Mike Frankenfield. It was a good quarter for us, Peter, throughout several metrics in terms of new client acquisition, which is obviously one source of user count, user growth and password growth. It's kind of a boring FactSet answer, but our growth was very, very broad-based. There were no single big defining wins. There was no significant price increase in the quarter. Rather, when we look at new client acquisition, it was broad-based. It came from new hedge funds, traditional asset managers, who keep M&A shops. When we look at the users, majority of the user growth happened on the buy-side. If you were to breakdown what's happening with the sell-side headcount, we have got solid growth in the middle market, in the boutique firms and that's offset a little bit by still some softness in the bigger firms, but even amongst the big bulge bracket firms, we are beginning to see signs of stabilization and potentially growth. New interns for example are up significantly this year and we will see if that translates to permanent hires in their firms.
Peter Appert - Piper Jaffray: About the proportion of growth coming from new versus existing clients.
Peter Walsh: When new clients come on to the system, they come on at a rate that's much lower than the average ASV per client and our strategy is to get clients to start out with a small amount of service that they can digest. As we get to understand their needs and they understand more about FactSet, we grow together, therefore the vast majority of our growth comes from what I would call same-store sales or sales to existing clients.
Peter Appert - Piper Jaffray: Got it. Thank you. Just as a follow-up, Phil, could you talk a little bit about your thought process in terms of decision to create a president role.
Phil Hadley: Well, through the annual - we have a December succession planning process that we go through every year. After conversations with Mike and Peter, we came to the conclusion that their timeline is less than five years and to make sure we are doing the right thing for the business, it became apparent that we need to groom the next generation of talent at FactSet. Through a process with Mike, Peter and I and the Board, we are very excited to have Phil as an outstanding candidate to lead the next generation of FactSet leadership team. The role of President is a great role for him, because it gives him the experiences necessary to be a valuable contributor in the strategy and where FactSet is headed in the future.
Peter Appert - Piper Jaffray: Specifically Mike and Peter, you are saying are not necessarily anything beyond five years?
Peter Walsh: All these are our kind of thoughts, but that was kind of if you look at it and say, my natural succession plan. If you looked at it historically, you would kind of think that that would be the case. As we kind of got together and put our heads together and we feel really excited about the outcome and in fact it was Mike's idea as we went through the process. We are excited about the next generation of FactSet and you know get to know more people at FactSet as opposed to the three of us.
Peter Appert - Piper Jaffray: Okay. Thank you.
Operator: Thank you. The next question comes from Mr. Manav Patnaik from Barclays. Sir, your line is open. You may proceed.
Manav Patnaik - Barclays: Thank you. Good morning. Just on the client retention, I just wanted to try and understand maybe with that as perspective, are there any changes to the competitive environment that's driving some of that or is that just less companies on the buy-side going out of business maybe. Just wanted to characterize where that improvement is coming from and is that sustainable?
Peter Walsh: You certainly identified one factor and that is, clients' health overall is improving in the industry. There were fewer firms that went out of the business in this particular quarter. However, when look at the FactSet's product offering and what our development teams are putting together to build a really broad complete product that can service the needs of all these different user types and firm types that I described earlier. We are emerging in a very, very strong competitive position. When I look at the wins we had, the quality of the wins was very strong this quarter, because they came not just from new firm creation, but competing against well entrenched competitors and been able to win that business.
Manav Patnaik - Barclays: I guess, does your you expansion on the wealth management side, does that have a role in this or is that maybe too small, maybe you can characterize that by what inning you guys feel you are in, in that penetration?
Peter Walsh: On the wealth side, I think you are seeing the combination of some new client growth, but the majority of the growth on the wealth side - it really just represents, wealth represent a large group of users. I think in the past, Phil Hadley has mentioned, there's many as 500,000 potential of wealth managers out there. We are not going after all 500,000, but rather the high end users, which is a smaller community, but still a university.
Manav Patnaik - Barclays: Okay. Then just one last one on, I think, last quarter you talked about the fixed income PA product doing very well, just any update there?
Peter Walsh: We continue to be in the early stages of fixed income. We had several key wins this quarter that continued to give us confidence and to verify that we are building something that not only our traditional clients who managed equities and a little bit of fixed income are interested in, but also firms that manage purely fixed income, insurance companies et cetera, are all now being to take notice and it's exciting dive into that opportunity, which we feel we are still in the early stages.
Manav Patnaik - Barclays: All right. Thanks a lot guys.
Operator: Thank you. The next question comes from Mr. Alex Kramm from UBS. Sir, your line is open. You may proceed.
Alex Kramm - UBS: Good morning. Just want to come back to some of the growth that you are talking about. I think I would ask for, in terms of the users and clients growth, like, what areas are driving that? I was hoping that maybe you can be a little bit more specific that when you look at your organic growth rate actually for the quarter in terms of ASV or revenue, if you can actually isolate some of these growth drivers in actual numbers. For example, obviously, StreetAccount is doing very well. That's now in your organic growth rate. I mean, how much is that contributing to the growth, also wealth management? How many percentage of your growth is coming from if you can or anything else that you can highlight there?
Peter Walsh: It would be very difficult for us to break down growth at that level. One of the challenges really in a product like ours is to really allocating revenue and that we sell a terminal based product that has lots of value and it comes from various pieces, so knowing exactly what the client valued in the purchase is difficult for us to do. We certainly attempt to for management purposes, but to be able to break it down and in the ways that would be able to give us concrete information for yourself, I guess I would focus on the theme of - as a business it may sound simple, but we are after terminals and clients and product to those clients and we really felt comfortable we had a great quarter and that we had all three of those metrics move in the right direction. We are gaining feeds - drivers. We are certainly gaining shares competitors as well as new users in a growth environment. New clients, same, and the product mix on top of those users in analytics space both fixed income and equity analytics products continue to do very well. Something like StreetAccount comes off of really small base for it to really be a core driver in incremental ASV based on its core product. We are certainly excited about how it does, but it wouldn't be material enough to move the big number.
Alex Kramm - UBS: Okay, then maybe secondly on operating leverage. It seems like excluding some of these acquisitions, your margins are still improving and still getting some nice operating leverage. When we think about even 2015 early, I mean, is there anything - I mean, should that trend continue? Is there anything that you are seeing out there in terms of pricing or cost pressure that should maybe inhibit that and are there any sort of step function as maybe you integrate some of these acquisitions better or is the base that you are seeing right now are good base to grow off of?
Phil Hadley: I have always looked at the business really from the bottom up, and as Peter pointed out, I think we are in our 16th quarter of double-digit EPS growth and I am really trying to double the shareholder value at the EPS line and what happens at margins sometimes acquisitions are dilutive to margins. Sometimes they are accretive to margin. As a business, we always try to manage margins flat. Obviously, things that come in and out of that make it, so that's not a true statement, but as the business philosophy, extending margins is not our focus. It's really investing in future product to drive our organic growth.
Alex Kramm - UBS: Okay. Fair enough. Thank you.
Operator: Thank you. The next question comes from Mr. Shlomo Rosenbaum from Stifel. Sir, your line is open. You may proceed.
Shlomo Rosenbaum - Stifel: Hi. Thank you very much for taking my questions. Mike, can you comment a little bit about hiring at the clients and how much that was a factor of growth just the new terminals to existing clients. You talked a little bit on the sell-side encouraging, but how about the different areas in the buy-side?
Mike Frankenfield: I think there is modest hiring going on, Shlomo. Nothing dramatic, but we certainly see pockets of growth and incremental hires going on, nothing dramatic.
Shlomo Rosenbaum - Stifel: …improving them?
Mike Frankenfield: I think it's a positive trend. Absolutely. Days when we were talking on this call several quarters ago when there was a lot of cloudiness and uncertainty about the direction are not the case now. Clearly the direction is positive hiring, but again I wouldn't get too excited about it, because I don't see signs that it's utterly dramatic.
Shlomo Rosenbaum - Stifel: Okay. Then if you can talk a little bit about the agreement with QUICK, I am trying to understand what it is you guys are doing over there premium to FactSet, what's going to be additive and is there going to be sold by FactSet or is it going to be sold by QUICK. Then the typical question I guess you could expect is are you going to be paying royalties to QUICK, so you are going to be selling a lower margin product, if you can just get into that a little bit?
Mike Frankenfield: Great. Happy to add some clarity to that. QUICK is a subsidiary of the Nikkei Group, in Japan. We had a long-term working relationship with both, QUICK and Nikkei, and the relationship that we have worked on that culminated this quarter was the decision to form partnership to build a joint product that will combine their best-of-breed content that focuses primarily on the Japanese market, with our global content and superior workflow solutions. This joint product is going to be worked on by both, our teams and it's not ready for releases today. It will be ready in the upcoming quarters. We will work jointly to market and sell that product and our goal is to build a premium product. Our goal is not to build a product that is less expensive or has lower amounts of functionality, but rather to build something that is going to be perceived and used as a premium in that market place.
Shlomo Rosenbaum - Stifel: Does that mean that it's going to be a higher price product, which I shouldn't expect to change in the margin profile, is that the way I should think of it?
Peter Walsh: From a profitability perspective, I think it will have similar characteristics of the business we have in Japan or rest of the world right now. What's exciting about it is, all our clients in Japan have strong demand for the Nikkei content, which is not available currently on FactSet. They are particularly focused on local language, so we will do some work to localize that product and make it more accessible to a larger universe. Then certainly the QUICK group has a very, very broad reach and has client relationships that extend well beyond what FactSet has been able to develop over the years, so we believe that leveraging their reach in the marketplace will help both firms achieve a good outcome.
Shlomo Rosenbaum - Stifel: That would offset any potential cannibalization of other FactSet workstations in Japan?
Peter Walsh: I expect it to be positive to the both firms.
Shlomo Rosenbaum - Stifel: Great. Thank you.
Operator: Thank you. The next question comes from Mr. Hamzah Mazari from Credit Suisse. Sir, your line is open. You may proceed.
Flavio Campos - Credit Suisse: Hi, there. This is Flavio. I am standing in for Hamzah today. Most of my questions have been answered, but just very quickly. On the competitive landscape, I think there was a question about pricing earlier, but how do you see your competitive landscape right now? We have heard a couple of your competitors were aggressive on pricing. Cap IQ is rolling out some of your products right now. Can you give us an update on how you see that?
Phil Hadley: Competitive landscape changes very slowly quarter-to-quarter and there are always lots of announcements each quarter about new product, but the reality is that takes a long time for clients to evaluate this product to consider and make a purchase decision and decided if it's the product that they going to go forward with, so there isn't significant change happening. We continue to price our product in a way that captures the full value that we are delivering and we continue to be very excited about our prospects relative to what we can do for clients and relative to the competitors.
Flavio Campos - Credit Suisse: Great. That's helpful. Just a different topic very quickly, any updates on your acquisition pipeline? Are you focused on right now on integrating or you are focusing on acquisitions already? Thanks.
Phil Hadley: It's Phil. Our core focus certainly as our strategy is always on our organic and creating value for clients, so as a business we stay plowing ahead and creating value with our strategic plan that we march forward with every year. That said, obviously, we are in attractive place for many business and we are always going to have our eyes out for companies and opportunities that would fit into the FactSet's long-term strategy, so it's something that is pretty episodic and how it takes place, but it's definitely out there and one we pay attention to.
Flavio Campos - Credit Suisse: Perfect. Thank you very much.
Operator: Thank you. The next comes from Mr. Toni Kaplan from Morgan Stanley. Sir, your line is open. You may proceed.
Toni Kaplan - Morgan Stanley: Thanks. You seem to be more positive on the client environment this quarter both, on the buy-side and the sell-side, so just in light of that are you are you expecting to increase your sales force to take advantage of the improving trend?
Phil Hadley: Our headcount strategy is really to grow our entire client facing staff, which includes sales people, client support people and product specialists in line what we think our revenue growth rate is.
Toni Kaplan - Morgan Stanley: Okay. You have been growing the wealth management business over the last couple of quarters. Just when I think about that, inherently does that business have lower margins? I know you have said in the past that the price point are similar, but is it more costly to get to those clients? I am just trying to get a sense of whether there is mix pressure on the margins based on that business growing? Thanks.
Phil Hadley: We had a interesting business. If we think of the product that we are selling to the wealth space, it's already been created for the institutional space. It certainly has some limitations in the feature sets that we allow into that, so at a cost of goods perspective if you were saying what incremental product I produce it's really zero. Then even the service level since there are different levels of the wealth basic events, terminals that have features that aren't included in institutional product. It's actually easier for us to support, so I think on margin of margin, you would find it accretive to what we are doing in the business.
Toni Kaplan - Morgan Stanley: Okay. Thanks.
Operator: Thank you. The next question comes from Joe Foresi from Janney Montgomery Scott. Your line is open. You may proceed.
Joe Foresi - Janney Montgomery Scott: Hi. I was wondering, could you give us some idea of what your investment schedule is for specific products? In other words, is there anything specifically that your are targeting throughout the business wealth management or fixed income?
Peter Walsh: Well, if you think about our business and back up, we have roughly 3,500 employees in the content creation and there is constant investment happening in that space. I think in round numbers, we probably have another 2,000 employees in product and software that client-facing and we have huge internal projects going on all the time for things in the marketplace there is a next generation of PAs, there's a next generation of backend platform. There is a new interface. There are all kinds of huge projects that go on internally. We are very fortunate able to fund those all out of - our current product. When I was talking about investing in the business and not having a leak in the margin is because we are always building this business for the future. Not interested in maximizing next quarter, interested in making sure that we are looking at the next decade and making sure this company is positioned to, as I have always said, be in a position to double, so the product pipeline would be a very long and exciting and boring if I think in which chair you are sitting in.
Joe Foresi - Janney Montgomery Scott: I was just wondering, what is factored if anything and what impact are you seeing from some of the lack of trading volumes across the street? In other words, do you expect a dip in the fixed income business because of that or sell-side in the back half of the year or is that you are not seeing an impact on your product from that?
Phil Hadley: Our product is very tight headcount in our clients, so it is really needs to be determined by their and the way you need invest in their business. As Mike alluded to, there are clearly signs of hiring and investment in the investment management side of the business. There are clearly signs of health in the boutique market businesses for us which are the bulk of our business if you take those pieces and put them together. The actual trading volume itself is certainly if you are a buy-side or sell-side client, affect your revenue and the levels of investments and depending on where your share is in that process can affect the ultimate staffing, but at this point we certainly see signs of health in our core user classes.
Joe Foresi - Janney Montgomery Scott: Okay. Then just finally the comfort that buy-side seems to have in hiring is that driven by you think the preservation of AUMs? In other words, the fact that the assets have remained and the markets remained at a highest level or would you think is driving that comfort level?
Phil Hadley: Clearly, their revenues are driven by AUM and when the market is healthy it goes directly to the revenues, but I think that the last cycle was one where we definitely saw much lower return to investing in their businesses than we had in prior cycles. I think it's one of those where the cycle it happened, so quickly that people were just way more cautious than they have been in the past, but we definitely feel like the clients are in a healthier place than they were a year ago and definitely one or two years ago.
Joe Foresi - Janney Montgomery Scott: Yes. Thank you.
Operator: Thank you. The next question comes from Mr. Peter Heckmann from Avondale Partners. Sir, your line is open. You may proceed.
Peter Heckmann - Avondale Partners: Good morning. Just a couple follow-up questions, could you quantify if any are you seeing any benefit on the expense line from currency? I know you hedged a good portion of your exposure there, but is that something that you can quantify for us this quarter and maybe last quarter?
Peter Walsh: Peter, it's Peter Walsh. Directionally as you know, almost all of our revenues are billed in U.S. dollars, so our currency exposure relates to 100% for us on our expense side which really relates to people cost. Just to give you directionally understanding of what the current impact for us is really negative or adversely impact us in Q3 in terms of expense, just primarily related to the euro, which we are not hedged and pound as well.
Peter Heckmann - Avondale Partners: Okay. All right. Then I know you have talked more about levying price increases more at annual renewal rather than once-a-year, but could you quantify any price increase that you levied on international customers in the quarter?
Peter Walsh: Minimal price increase in the quarter is I think you accurately - you got it there. Peter, we have moved to this mode having the price happen in line with the clients' contracting.
Peter Heckmann - Avondale Partners: Okay. Fair enough. That's all I have right now. Thanks much.
Operator: Thank you. The question comes from Mr. Patrick O'Shaughnessy from Raymond James. Sir, your line is open. You may proceed.
Patrick O'Shaughnessy - Raymond James: Good morning. Just to follow-up on that last question and something that was discussed on the call last quarter, so historically you guys have pushed through a pricing increase kind of earlier in the years both, in the U.S. and abroad, and now you have kind of switched to push into those price increases as contracts come up for renewals. I’m curious -- does that reflect any reduction in pricing power that you guys feel in the current environment or is it just simply a function of it just makes more sense to address pricing when the contracts come up?
Phil Hadley: Really, the latter. It just makes more sense. You are at - a logic point working with the client when they are thinking about how much - the service they are having, what the configuration is and it's a very logical conversation to have with the client at that point.
Patrick O'Shaughnessy - Raymond James: All right. Got you. Then my follow-up, as the pace of European revenue growth seems to be outpacing the U.S. a little bit, would you expect any sort of impact on your weighted average tax rate going forward?
Mike Frankenfield: I think you know it would be immaterial. When you look at the way the after tax rate in the short-term over a longer period of time, we really see the opportunity outside the U.S. as being at least the same size in the U.S., so perhaps over a longer period of time, we have the opportunity for the weighted average tax rate to decline at that - that trend really accelerated in a material way.
Patrick O'Shaughnessy - Raymond James: All right. Thank you.
Operator: Thank you. The next question comes from Mr. Tim McHugh from William Blair & Co. Sir, your line is open. You may proceed.
Tim McHugh - William Blair & Co.: Yes. Thank you. First I just wanted to just ask, following up on the questions about QUICK earlier. Could you help us to understand how much of Asia right now is your business in Japan? I am trying to understand how much of an expansion this could be for you as we cite kind of that opportunity?
Mike Frankenfield: I think Asia is less than 10%. Japan would be third of Asia, so - I am winging it a little bit, but I think that's the magnitude you would be talking about.
Tim McHugh - William Blair & Co.: Okay. Can you talk the international growth rate picking up? I guess, how much of that - are you doing anything different in Europe and Asia right now versus do you think you are benefiting from improving economic environments and stock market activity in Europe and Australia, I guess, to some extent?
Peter Walsh: Yes. I think, our effort in product have seen steady improvement over time, and I think we are now in a mode where we are getting perhaps a little bit of a tailwind or at least the headwinds or are abating, we saw good growth out of continental Europe this quarter, which has been a change from previous quarters. Australia happens to be one of our stronger markets and has performed well historically for last two quarters and was maybe a little bit softer this quarter, so it's a mixed bag of things but the overall theme is reduced headwinds and possibly tailwind emerging.
Tim McHugh - William Blair & Co.: Okay. Then lastly, can you just elaborate, you made a comment towards the end of your prepared remarks about feeling a little bit more optimistic about the sell-side environment. I guess, someone answer earlier about trading bonus being tough. I guess, can you give any more specifics on what you are seeing or you are hearing from the sales force that gives you more optimism on that side of the business?
Phil Hadley: I think, the two big workflows we have in the sell-side clients would be equity research and investment banking. On a numbers basis and our revenues basis, investment banking is much bigger for us than equity research, almost 3:1. I think, that certainly feels like the macro environment, when it comes to investment banking and deal volume both, mid-market and large firms is certainly on a positive trend. You are probably very familiar with the equity research model, but the only thing that surprises me is our coverage has gone from a couple analysts to a dozen, so there must be something that's exciting in the equity research model. I think if you take both of those together and weight it very heavily to the investment banking on a user count basis, I think that's why we feel optimism.
Tim McHugh - William Blair & Co.: Okay. Great. Thank you.
Operator: Thank you. The last question is from Mr. Shlomo Rosenbaum from Stifel. Sir, your line is open. You may proceed.
Shlomo Rosenbaum - Stifel: I just want to sneak in one more question just on the pricing side. As you guys have switched the pricing discussion to being concurrent with renewing the contracts, has that changed your ability to get any pricing from the clients? Usually that's the time when a vendor has the least amount of leverage and they are trying to renew the contract, so I was wondering if you could give us a little bit of color on that.
Phil Hadley: Shlomo, today that hasn't had the negative impact. I will, for clarification purposes, there are still a segment of the client base that receives a price increase in January, not every client has moved over to the new model, but we have worked with our part with our clients in a partnership and when we walk into a client on a regular basis, we are providing them with training and project work and demonstrating new software updates. What we can do at the end of every year is, highlight for the client all the great value that we have added and demonstrate all the improvements we have made to the product and it's a very, very straightforward conversation.
Shlomo Rosenbaum - Stifel: Great. That's all I wanted.
Peter Walsh: Thank you very much.
Operator: Thank you. At this time, there are no questions in the queue.
Peter Walsh: Thank you and enjoy your summers.
Operator: That concludes today's conference. Thank you for participating. You may now disconnect.